Operator: Thank you for standing by, and welcome to the Sandfire Resources H1 FY '26 Financial Results Conference Call. [Operator Instructions] I would now like to hand the conference over to Brendan Harris, Chief Executive Officer and Managing Director. Please go ahead.
Brendan Harris: Good morning, everyone, and welcome to our financial results for the half year. As always, our executive team is here with me today, and I'll pass to Megan very shortly to walk you through the all-important numbers. But before we start, I'd like to acknowledge the traditional custodians of the land on which we stand, the Whadjuk people of the Noongar nation as well as the First Nations peoples of the lands in which we conduct our business. We pay our respects to their elders and leaders past, present and emerging. Starting with safety. We finished the period with a group TRIF of 1.3, down from 1.7 at the end of FY '25. While this outcome moves a step closer to our goal of having a workplace that is free from injury, the number of high-potential incidents in our business remains a concern and highlights the importance of the work we're doing to further strengthen our internal system of risk management and control. Of course, from a cultural perspective, the regular reporting of these incidents is an important indication that our efforts to build an inclusive environment where every employee and contractor feels safe to stop work and speak up is starting to take hold. More broadly, our 2 high-margin mining operations in Spain and Botswana really proved their worth in the period as the copper market firmed and their valuable byproducts of zinc, lead and silver, further enhanced their competitive cost position. And it was by no means our best half operationally. While MATSA started the year well, building further operational resilience and consistency, it's been somewhat more challenging. As you know, at Motheo, where we brought forward planned maintenance and were impacted by a temporary drop-off in mobile fleet availability to finish the half at a collective 46% of annual production guidance, having delivered 48,600 tonnes of copper, 49,000 tonnes of zinc, 3,500 tonnes of lead and 2.4 million ounces of silver for copper equivalent output of 72,100 tonnes. But of course, that's only part of the story. We've always said we want to be judged on our ability to deliver on all aspects of the mining value equation. And in this regard, we have done well to control costs across an extended period that has been characterized by broad-based industry-wide inflationary pressure. And our track record remains intact as we have retained annual guidance for underlying operating unit costs, production and capital expenditure at both MATSA and Motheo. Quite simply, our focus on the basics and fiscal discipline is keeping our house in order. I'll leave our broader financial highlights and achievements for Megan to summarize, which should also help you gain an even better understanding of our approach to capital management. But before I pass over to Megan, I'd like to formally introduce the formidable partnership we formed with Havilah Resources to advance the Kalkaroo Copper-Gold project and establish an exploration strategic alliance across the highly prospective Curnamona Province in South Australia. Under the terms of these agreements, we now have an exclusive right to earn an 80% controlling interest in what we believe to be one of the best copper and gold greenfield development opportunities in Australia that has the potential to become a large-scale, long-life operation ideally located in a preferred jurisdiction. Kalkaroo is an exciting opportunity for our shareholders that firmly reestablishes our exploration and development footprint in Australia. We expect to commence an extensive infill and extension drilling program at Kalkaroo once we have established camp facilities and received the required approvals, which are expected in the June quarter, if not sooner. Make no mistake, we plan to move prudently but quickly to test the full extent of the Kalkaroo copper and gold deposit and establish the value maximizing pathway for its development. In this regard, we are uniquely positioned. We have the balance sheet, we have the technical teams, and we have a proven and match fit projects team that only recently completed the successful construction and commissioning of Motheo. With that, I'll hand over to Megan.
Nicholas Read: Thank you, Brendan, and good morning to everyone on the call. I'm pleased to present our financial results for the first half of FY '26. As Brendan touched on, we have delivered 72,100 tonnes of copper equivalent production for the 6 months to 31 December 2025. This performance, coupled with healthy pricing for our key commodities delivered revenue of $672 million, a record for a 6-month period, which would have been some $23 million higher, if not for the impact of the hedging program associated with the MATSA acquisition, which was fully executed by the end of the period, leaving all future sales fully unhedged and giving the group a pure exposure to commodity prices. The combination of record revenue and good cost control delivered underlying EBITDA of $304 million and an underlying profit of $107 million, which has more than doubled since the last half for a statutory profit of $96 million. Digging deeper, at Motheo, despite the somewhat challenging start to the year, we delivered a robust set of financial results, with underlying operations EBITDA largely unchanged at $161 million for a still healthy operating margin of 57% as strong commodity prices mitigated the impact of lower-than-expected production. Motheo delivered an operating unit cost of $43 per tonne, marginally below our annual guidance of $44 per tonne, impacted by mining contractor and labor costs and the previously advised 50% increase in power tariff. At MATSA, underlying operations EBITDA increased by 37% to $184 million at a 47% margin, primarily driven by higher commodity prices and lower TCRC, which more than offset a 15% increase in underlying operating costs that were impacted by recent strength in the euro to U.S. dollar exchange rate, an increase in costs associated with recovery improvement initiatives and the release of working capital as ROM stocks were consumed for an operating unit cost of $87 per tonne, which is broadly in line with FY '26 guidance. Below the line, our D&A expense of $144 million included $113 million of MATSA and $30 million of Motheo, which decreased by 6% in comparison to the prior corresponding period, primarily as a result of lower mining rates. We expect our D&A expense to rise in the second half to reflect the planned increase in throughput at both MASTA and Motheo. Our overall underlying net finance expense of $11.4 million decreased by 58% compared to the prior half as the group experienced a significant $16.2 million reduction in net interest and facilities fee expenses to $9.3 million in the half reflecting the injection of $301 million into our balance sheet across the prior 12-month period and the lower margins at our corporate revolver facility provides. The rise in the group's profitability led to an increase in our underlying income tax expense to $42 million for an underlying effective tax rate of 28% which continues to be impacted by the limited ability to recognize benefits associated with tax losses in Australia and the U.S.A. On the topic of tax, subsequent to the period end, we paid our inaugural tax installment for Motheo of $11.6 million, following the utilization of carryforward tax losses, a reflection of the operation's strong cash generation and buoyant commodity markets. Looking ahead to the second half of FY '26, we expect cash payments to step up, trending toward our effective tax rate in future years. Total capital expenditure across the group increased by 14% from the prior half to $112 million as the strength of the euro and commencement of activity to construct our new tailings storage facility at MATSA and incremental investment to support the optimized 5.6 million tonne per annum throughput rate and ongoing A1 drilling and PFS costs at Motheo saw an uplift in our level of investment. The group's balance sheet has been fundamentally transformed. Strong operational performance, buoyant commodity markets have delivered a $489 million into our balance sheet over the past 2 years. This is a significant leap forward for the group's financial position when you consider that our balance sheet had peak net debt of $481 million, just 21 months ago, and we are now sitting on a net cash position of $13 million. In accordance with our capital management framework, excess capital will be deployed in a manner that maximizes TSR and our per share metrics. In simple terms, this means that any discretionary investment alternatives will need to compete with shareholder dividends and share buybacks. The agreement that was struck with Havilah Resources are a good example of this framework in practice and has seen an initial AUD 31.5 million cash payment to Havilah subsequent to period end as part of the Stage 1 payment and a further AUD 15 million cash payment has also been made subsequent to period end to fund exploration in the Curnamona province. These additional commitments were an important consideration for the board when contemplating the recommencement of shareholder dividend while balancing preservation of the group's strong financial position ensuring that any distribution doesn't move the group away from its targeted net cash position. With this in mind, no dividend has been declared in respect of half 1 FY '26. As Brendan touched on, we've retained annual guidance for underlying unit costs, production and capital expenditure of both MASTA and Motheo. However, we have incrementally increased group capital expenditure guidance by $10 million to $240 million to capture the planned ramp-up of activity at Kalkaroo and guidance for exploration and evaluation expenditure by $5 million to $51 million to reflect both the planned commencement of regional exploration in the Curnamona Province and additional activity to keep the Black Butte project moving forward following completion of the PFS in December. Turning to future concentrate sales. Our recent tender for Motheo concentrate was well received by the market, and we secured approximately 75% of calendar year '26 and calendar year '27 sales with a select number of customers at TCRC terms, which reflect the prevailing market. The high number of participants and competitiveness of the bids reflect the tightness in the concentrate market and the quality of the Motheo concentrate. We expect these positive outcomes to benefit our C1 unit cost in half 2. Our strong financial position and growing profitability continues to give us confidence for the future, and we will remain financially disciplined. With that, I'll hand back to Brendan.
Brendan Harris: Thanks, Megan. Look, as you rightly said, we're in a strong position, and we're not taking our foot off the accelerator with a lot of hard work needed to ensure we make good on the commitments we've made for the remainder of the year. And can I stress that we expect volumes in the second half to be weighted toward the fourth quarter, like last year, with a circa 47-53 production skew, I say that again, 47-53 production skew across the first half -- sorry, third quarter and fourth quarter as access to high-grade ore at both MATSA and Motheo is progressively established across the period. Turning to exploration and evaluation development. We remain on track to declare a maiden reserve at A1 in the fourth quarter. While the initial infill and extension drilling program produced modest results, as I mentioned on our recent quarterly call, we have commenced the second phase of drilling to test for further continuity of mineralization at depth, which is shaping up as an important driver of the economics. We also expect construction of a dedicated 21-megawatt solar facility to commence in the coming months at Motheo, which will provide up to 33% of the operation stationary power requirements from midway through FY '27. Importantly, construction of this solar array is underpinned by sound economics, a robust risk assessment and our commitment to decarbonize. Separately, we expect to complete the review of our 87% shareholding in Sandfire America, which, as you know, owns 100% of the fully permitted Black Butte copper project before we report our results in August. The recent release of the pre-feasibility study outcomes for Johnny Lee and mineral resource estimate for Lowry confirmed the economic case for the project development, and our review is primarily considering the materiality of the project and feasibility study outcomes within the context of the growth we've achieved in the 11 years since our initial investment was made. So as I said, we've got our foot down, and we're building momentum across all 4 pillars of our strategy. We have the right team, we're producing metals, the world needs to electrify. Our global portfolio is becoming increasingly cost competitive. We have the right balance sheet for the time, and we're now very selectively deploying capital to opportunities that have a favorable risk-reward equation and the potential to generate an excess return for our shareholders. Thank you. And with that, let's go to questions.
Operator: [Operator Instructions] The first question today comes from Daniel Morgan from Barrenjoey.
Daniel Morgan: Brendan and team, so on your remarks, Brendan, you mentioned just a skew for the second half of production. Can I just clarify? I think you said 47-53 split from Q3 and Q4. Is that both assets? And also at MATSA in the mine sequence, is there a copper dominance or zinc -- obviously, you're going to have a lot of movement around the ore sources?
Brendan Harris: Yes. Look, good question. So let me deal with the first part. And I know, Jason, you got to talk about MATSA and obviously, the nature of the polymetallic there. So when I talk about that split, I think, Dan, as you work through your numbers, you'll see very quickly that MATSA is much more balanced across the third and fourth quarter to make those numbers work. It's probably somewhere in the order of 48-52, 49-51. It will be in that order. And then obviously, the differential is Motheo. Motheo naturally has a more significant skew because as we open up the A4 ore body, we really get access into that high-grade ore. And because of the fleet availability discussion we had, of course, at the quarterly call you'll be mindful that we progressively start to release more high-grade ore from the T3 pit as well. So hopefully, that gives you a sense as to how that should play out. It's not a perfect sign, but we're just trying to give you a bit of a sense of how that balance will work across the quarter. And maybe, Jason, if you can go to MATSA in terms of the polymetallic.
Jason Grace: So if we look at Dan, the split between copper-only ore and also poly ore for the year, we had originally planned around about 1 million tonnes of the 4.6 being copper-only ore. If you look at it half to date, we're sitting around about 550,000 of copper ore mined. So largely, that proportion that we've seen in half 1 will be maintained through the half 2. But if you look at Appendix A from the quarterly there as well, it will give you an indication there around our guided grades for the year and particularly for Q2. We expect to see copper-only ore probably increase slightly in terms of copper grade. And overall, probably a slight increase in zinc grade going into the second half as well.
Brendan Harris: Yes. Maybe just to round that out and turning back to Motheo, and Jason, feel free to add. If you think about it, Dan, remember, we brought forward maintenance because of the issues we had in the SAG mill. That was planned for the second half. So not only do we expect to see some of the best grades coming out of Motheo in that fourth quarter, particularly with T3 and A4 providing a benefit. But we are expecting a high throughput rate in that period as well, which will obviously, by definition, be above the average of the year of 5.6 million tonnes. So -- and again, the last thing I would add, as you know, pretty typical in most processing plants as we push higher grade material, we'll get higher recoveries. So all of those things we anticipate it working for us and really provide that kicker in the back end.
Daniel Morgan: It would be remiss of me this week to not mention silver. BHP obviously has done a big silver stream. Just wanted to hear your perspectives on your silver revenue highlighting it? And how can you maximize the value of it for shareholders?
Brendan Harris: Thanks, Dan. We did anticipate we might get a question or 2 about silver. Topical at the moment for all sorts of very good reasons. Look, I guess the first thing I'd say is I'm certainly not going to comment on BHP and what they have done and the reasons they're in. But I would just make a general observation that a large diversified mining company is very different from a mid-tier emerging global copper producer with primarily 2 high-quality operations, high-margin operations and 1 development option beyond Black Butte being Kalkaroo, that we're going to accelerate with regards to activity on the ground to hopefully move us towards the confidence in time to develop and make an investment decision. I've said many times that I believe in the space that we operate. Our job is to be effective risk managers. And I think it's really important, therefore, this concept that I've talked about, about suppressing beta. Our job is to suppress beta, reduce risk, reduce volatility and be safe, consistent and predictable with a fundamentally simple strategy. And I think ultimately, that's what delivers the rating. Now obviously, we keep all things on the table. And I think one's got to be careful ruling things out in perpetuity. But primarily, what that means in this regard is that a stream for us would increase beta. It would increase the underlying cost structure of our assets, it would make us more vulnerable through the cycle and ultimately, should lead to a higher cost of capital. Now of course, you can realize capital upfront for that. The question is then what you do with that, but you've got to be very careful in the context of knowing you have effectively a liability but you also have much less resilience to commodity prices and macroeconomic volatility. So look, we still stand by the premise that we want to give our investors largely pure exposure to the commodities that we produce. We think that's why they own us. We want to very much do everything we can, well, which is -- has the typical levels of volatility. Our operations have the typical complexity that exists in mining that we do everything we can to enhance our cost position, our byproducts play into that. There are a core difference and point of difference with respect to a number of the large Andean producers, which are not less with byproducts. Typically, some have -- some might have a little bit of gold, but not a lot of byproducts. And it's the silver and in MATSA's case, the additional lead and zinc that really keeps those assets well positioned on the cost curve and we think that will serve us best across time, and we think it will certainly help us with our ultimate rating that the market ascribes over time.
Operator: The next question comes from Ben Lyons from Jarden Securities Limited.
Ben Lyons: Brendan, Megan and team. Firstly, just a couple of clarification questions up front, please. Brendan, your comments around the solar facility at Motheo, I assume that's being done off Sandfire's balance sheet with a PPA in place, but maybe you can just confirm that firstly, please?
Brendan Harris: Yes, it's effectively a third-party lease agreement. And the way it works in the current sort of energy price environment, it really leads to no meaningful impact on our P&L relative to the current status quo with regards to how power prices, et cetera feed through. What I would say, though, is we think it's not only something that's the right thing to do also aligned with our commitment to decarbonize, but it actually plays an important part in mitigating risk against further power tariff pipe, but also any grid instability.
Ben Lyons: Awesome. And secondly, Megan, just taking into account your comments around the Motheo concentrate offtake. And I think you said approximately 75% of calendar '26 and '27 sales have been locked away at TCRCs terms, which reflect prevailing market conditions. Could you possibly just elaborate on what you're seeing with regards to prevailing market conditions at present, please?
Megan Jansen: Ben, thank you for that question. And you heard that correctly, we've locked in approximately 75% of our concentrate sales for calendar year '26 and '27, and we do refer to having secured prevailing market conditions. As you'd be aware, market pricing has been TCRCs in that negative territory, in recent months, ranging from sort of negative $50 per ton to upwards negative $100 per ton and so it's reasonable to assume within that range is there about where we've landed for calendar year '26. Calendar year '27 is a little bit more kind of intricate, if you like. It's a combination of the market pricing that we've seen in recent months, but then there's also links to benchmark. So I think for calendar year '27, a more conservative approach is probably the best way to think about modeling that TCRC benefit beyond calendar year '26.
Ben Lyons: Great. looking forward with the final question, just on Slide 27, great to see some of your plans coming to fruition, so early for the Kalkaroo opportunity. And I can see you've got in place there, a number of proposed drill collars. I guess maybe the first question on that schematic would be just the interplay between the couple of granted mining leases there and then there's an MPL, which I think lots onto a multi-purpose lease down in the Southwest quadrant. And how those drill collars align with historical drilling. Basically, just trying to get a sense of how much confirmation drilling is planned versus extension and infill going forward?
Brendan Harris: Yes. Look, thanks, and I'll take that up front and then Jason obviously, Ian Kerr, the master mind behind. Obviously, the construction and development of Motheo, he's basically been moved across onto this permanently now. That's what when I referred to a match-fit team. We're quite blessed to have that capability, it's not just Ian, it's his broader team and all the support around him. If you look at that schematic, a couple of things to note. You'll notice that the grade is in effect the saprolite gold resource and the sulfide mineral resource. You can see a large part of that drilling, Ben, is really to test that extent. So this ore body remains open at depth and along strike in multiple directions, primarily the southwestern edge. Beyond that boundary, obviously, we've got plans to initially test it, but it appears to us that there's at least 2 of open strike. It's currently defined over about 3 kilometers. So what you'll note is that primary objective initially is to really get out there and understand what the true scale of this ore body is. And test I guess our underlying assumption that this ore body has the potential to grow substantially and support a very large-scale operation, low cost, large-scale mining fleet, high productivity ideally located next to already installed infrastructure, highways, rail, available renewable energy in the area, et cetera, et cetera. So that's really the plan. So most of it is really step out. Now of course, over time, if we get the results that we would expect to see, then in time, we will also look to increase drill density. We would think a minimum 50-meter type spacing. And that's currently at around about 100-meter centers on average. So over time, that will also evolve. But again, largely a plan initially to really test our thesis of the scale of opportunity that exists here. Now I would just say that we're also through due diligence, we've been lucky enough to look at some of the work that other third parties did to go and, I guess, assess some of the historical data on a bit of a term, twinning drill holes and they actually saw high correlation and replication of original results. And that's led us to believe the most important thing is to get out and understand the ore body and do new work rather than start off trying to replicate results that seem to us to have been to some extent or seems to have already been done. So Jason, maybe just test anything else on that?
Jason Grace: I think you've covered it really well. The only thing I might add there, Ben, is  Havilah have drilled and prior involved parties as well have drilled a lot of RC drilling with some diamond drilling. We've also done a lot of work on looking at whether there is an inherent potential bias there between the different drilling techniques. And at this stage, we believe that RC is a good representation of the ore body as we stand at the moment. So as part of our drilling program, we will be doing a mix of RC and diamond drilling. So obviously, with diamond drilling collecting very good structural, lithological, and metallurgical data and then RC being able to step out very quickly and rapidly assess the size and scope and the detail of this deposit as well.
Brendan Harris: And then maybe just to round that out, -- and this won't be lost on you, but just maybe for the benefit of others, that this is a sedimentary copper deposit. It's highly metamorphosed and cooked. As we've said before, the mineralized zone, the main sort of prize is it looks like a chair, it's cooked that much. But the key point being is that we have no indication of any discontinuity of the sedimentary layer. That's what we need to test. And that's what that -- particularly that drilling as we move out towards the Southwest is designed to do because that's, again, a big part of the prize for us. It's an ideally dipping portion of the stratigraphy. It's what lends itself to a low strip ratio. And as we mentioned, it also lends itself we believe, to large-scale bulk mining equipment, which will bring with it significant benefits from a productivity and efficiency point of view.
Ben Lyons: That's very helpful. And Brendan, just the final part was just the relevance of that MPL versus the ML that I'll hand it on.
Brendan Harris: Yes. Look, so a number of these things are a function of the past. There are different configurations that have been considered in terms of where specific infrastructure might replace things like workshops, camp facilities, tailings dams and so on and so forth. As we work through the entirety of this project, I think a lot of those things will evolve. Indeed, we anticipate along with Havilah, but in time, we will seek to add to the, call it, the acreage that the MLs actually cover and/or have additional MPLs because it's likely as we hope that the opportunity grows in scale that we will actually need to look at alternative areas for some of the infrastructure that I've mentioned. There are also off this map. There are borrow pits and things where there are applications in already such that we can get access to aggregate and other forms for building and construction zone. So yes, look, we look forward to at some point in the not-too-distant future once we've got a meaningful presence up there, providing opportunity for analysts and investors to go up and get a feel for the ground and obviously how we think things will evolve over time.
Operator: [Operator Instructions] The next question comes from Adam Baker from Macquarie.
Adam Baker: Brendan, I was just wondering if you could make a quick comment. Just looking at some of the news in February, Spain had a pretty wet month. Just wondering if there's been any impact to MATSA throughout this period?
Brendan Harris: Yes. Unfortunately, that's something we see time and time again. These major weather-related events are becoming more common. And I guess, in some ways, they would say are consistent with a lot of the modeling that was undertaken many, many, many years ago, particularly in the mid-latitude of higher frequency and intensity of these storm events. Jason, I'll just hand it to you.
Jason Grace: Firstly, Adam, if we look at it, there's been thousands of people quite heavily impacted by the very heavy rains. And while it wasn't as dramatic as the October 2024 range that we saw last winter, this one is more of a cumulative impact of heavy rains across multiple seasons. So what we've seen, particularly in the Southern Spain area around Andalucia, A lot of the water storage facilities in that region have filled up in the previous winter and not really being drawn down. Now what we've seen is -- then heavy rains come in. We've got a lot of those water storage facilities where they're overflowing straight away. And what we've seen as a result of that is very heavy impacts to communities down close to the coast. So Huelva itself has had thousands of people impacted. And a number of our people and their families are obviously impacted by that given that we draw people as employees and stakeholders for our site at MATSA from that region as well. Now stepping back towards the mine itself. Our MATSA team have managed this event really well. Last year, in between the 2 winter-rainy seasons, we invested in the construction of a south tailing or water storage dam which set us up really well for water management during this period. And the team have managed that very, very well. If you look at overall impact to operations, we've made sure that we've utilized those new facilities well. The only real impact that it has had to us is that we've -- once again, what we see when our ROM area gets very, very wet, the ore gets saturated, and it impacts our crushing and our ability to put the ore up the conveyors during that time and get it through the mill. So we've suffered a reduction in throughput rate in the first half of February, but we're recovering well from that at the moment, and we don't expect that there's any material impact for the full year for MATSA.
Brendan Harris: I think the way I put that timing difference, it's more of a frustration, but given the way that the mines configured on the processing facility, as Jason said, we don't expect that to be a permanent impact. But I think the bigger issue is just for our people, and that creates some level of stress in any organization in any region. Good question, though, Adam, thank you.
Adam Baker: And just following up on Kalkaroo, maybe Slide 28. Clearly, quite a large array of tenements here, close to 9,000 square meters. Just wondering, it looks like you've done -- it looks like Kalkaroo has done quite a bit of work regards to the JV's perspective and you've kind of got walk-up targets to put drill holes into. Can you just make a quick comment on what you're seeing outside of the main Kalkaroo deposit with regards to mineralization and deposit formation? Is there anything in particular you're looking for? Or should we just assume this is a regional kind of exploration target?
Brendan Harris: Look, I'll say something slightly facetious to start with. There's an old exploration geologist. We all know that sometimes the worst thing you can do is put a hole into something. It's the best way to turn something from a target to nothing. But look, the reality is this opportunity is clearly anchored by Kalkaroo. We don't say lightly that we think it's the best undeveloped copper-gold opportunity in the country. That's our view. Now to be tested, others to judge. That's our view. That's what we're doing, what we're doing. We've structured the deal in a way that we think really puts the risk reward in our shareholders' favor. It mitigates risk, provides a lot of opportunity. But it is absolutely right to say that the broader tenement package and the prospectivity of the Curnamona Province has also played significantly into our thinking. If you think about our strategy and you step right back, what do we like about our business? It's that we not only have MATSA, it's that we have a basin opportunity in Iberian Pyrite Belt and have a significant land holding. We like the Kalahari not only because we have Motheo and modern processing hub, but we have a very large land holding just under 10,000 square kilometers or soon to be. That provides an enormous opportunity for future discoveries. What we like about Kalkaroo and Curnamona, one, Havilah has got the most experience in the basin. What they don't know about the Curnamona really is not worth knowing. They have the large land package. It gives us that basin opportunity. And as you said, they've done a lot of work over a long period of time, and there are walk-up targets. Now again, drilling those targets, time will tell. There's a little bit like what we see in the Kalahari. You're looking for a lot of these sedimentary type deposits, which means you will find a lot of copper. What you're trying to find is aggregation of high-grade coupled with continuity. We think that there are some very, very attractive targets and time will tell. But we think this is going to be $30 million over 2 years of money well spent.
Operator: At this time, we're showing no further questions. I'll hand the conference back to Brendan for any closing remarks.
Brendan Harris: Look, I know I say it a lot, but it's a very busy day. We'll see how many companies have reported this morning. We do appreciate the effort you go to, to understand our company and help others. And of course, we really appreciate everyone who's dialed in today. We are, as obviously, keeping our foot to the floor. We've got a big second half in front of us. We want to be held to account. We are committed to delivering on our guidance, and we look forward to speaking with you again in April, if not before, at either BMO in Miami or on our road show as we move around the country. But thank you again, and have a great day.